Operator:
Jon Moeller:
Operator:
Chris Ferrara – Bank of America:
Bob McDonald:
Jon Moeller:
Bob McDonald:
Operator:
Dara Mohsenian - Morgan Stanley:
Bob McDonald:
Jon Moeller:
Operator:
Lauren Lieberman - Barclays:
Bob McDonald:
Lauren Lieberman - Barclays:
Jon Moeller:
Bob McDonald:
Operator:
John Faucher - JPMorgan:
Bob McDonald:
Jon Moeller:
Operator:
Nik Modi - UBS:
Bob McDonald:
Jon Moeller:
Operator:
Bill Schmitz - Deutsche Bank:
Jon Moeller:
Operator:
Bill Chappell - SunTrust Robinson Humphrey:
Bob McDonald:
Bill Chappell - SunTrust Robinson Humphrey:
Bob McDonald:
Operator:
Ali Dibadj - Bernstein:
Bob McDonald:
Operator:
Joe Altobello - Oppenheimer:
Bob McDonald:
Operator:
Connie Maneaty - BMO Capital Markets:
Bob McDonald:
Operator:
Javier Escalante - Consumer Edge Research:
Jon Moeller:
Operator:
Jason Gere - RBC Capital Markets:
Bob McDonald:
Jon Moeller:
Operator:
Joe Lachky - Wells Fargo:
Bob McDonald:
Operator:
Alice Longley - Buckingham Research:
Jon Moeller:
Bob McDonald:
Operator:
Mark Astrachan - Stifel Nicolaus:
Bob McDonald:
Operator:
Michael Steib - Credit Suisse:
Jon Moeller:
Bob McDonald:
Operator:
Linda Bolton Weiser - B. Riley Caris:
Jon Moeller:
Bob McDonald:
Operator:
Leigh Ferst - Wellington Shields:
Bob McDonald:
Operator:
Caroline Levy - CLSA:
Bob McDonald:
Operator: